Operator: Good afternoon. I would like to everyone to the First Commonwealth second quarter 2010 earnings conference call. All participants will be in a listen-only mode. (Operator Instructions) Please note that this conference is being recorded. At this time I would like to turn the call over to Richard Stimel, Communications Manager at First Commonwealth. Rich?
Richard Stimel: As a reminder a copy of today’s earnings release can be accessed by logging on to fcfbank.com and selecting the Investor Relations link at the top of the page. And then selecting News on the left side of the page. We've also included slide presentations on our Investor Relations page with supplemental financial information that we will reference throughout today's call. With me in the room today are John Dolan, President and CEO of First Commonwealth Financial Corporation. Mike Price, President of First Commonwealth Bank and Bob Rout, Executive Vice President and Chief Financial Officer. After brief comments from management we will open the call for your questions. For that portion of the call we will be joined by Bob Emmerich, our Chief Credit officer and John Previte, our Senior Vice President with Investments. Before we begin I would like to caution listeners that this conference call will contain forward-looking statements about First Commonwealth, its business, strategies and prospects. Please refer to our forward-looking statements disclaimer on page 2 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements. Now I would like to turn the call over to John Dolan.
John Dolan: Thanks Rich and good afternoon. Thank you all for joining us on today's call. With the release of our second quarter financial results this morning we were pleased to report solid overall performance and continuing progress and resolving the credit quality issues that has so dramatically affected our earnings over the past several quarters. While the credit issues we've been managing and working to clear up bids stabilized in the second quarter the continued economic uncertainties require that we remain cautious. Mike will walk through the credit details, the credit quality details with you a little bit later but in general our second quarter provision for loan losses was significantly lower than both the previous quarters and the provision for the second quarter of last year. An extensive amount of time and resource have been dedicated to reshaping our risk profile and addressing the exposures of our large credits. In the second quarter we did not experience any significant deterioration in the credits or the collateral evaluations. We did recover $3.6 million during the quarter from previously charged funds as well as releasing specific reserves for a troubled load that paid off. Credit quality obviously continues to be our top priority and the changes we've made to the structure of our credit function the chart we brought in to lead team and the refinement of our credit policies and guidelines have allowed us to make consistent progress in this area. So while credit quality remains right delayed the focus of our attention, a solid performance to report in virtually every aspect of our community bank and operations. Revenues continue to grow with net interest income up from the same quarter last year although down from the link quarter. Net interest margin was up 15 basis from the second quarter 2009 and is also up on a year-to-date basis as well. Our gains in net interest margin have been generated from a better deposit mix, improved low pricing and deleveraging our balance sheet. There was also greater moderation in our other than temporary impairment charges predominantly resulting from our pool of preferred securities throughout the quarter and on a year-over-year basis. On the expense side we continue to contain costs and improve to link manage our expenditures. As I mentioned earlier our deposit mix is an important focus for us that help to enhance our net interest margin. Our deposit gathering efforts have generated a 16% increase in transaction and savings deposit from the second quarter of 2009 through the second quarter of 2010. And we continue to run off term deposits of single service households. Our client household growth continues to exceed the market and a significant portion of this growth comes directly from our Pittsburgh operations. Our modest loan growth for the quarter was a product of light loan demand and our disciplined underwriting standards. We feel the flat loan growth between now and the end of the year is an optimistic. The uncertainty over exactly where the economy is headed is likely to continue to have an effect on loan demand as will the customers’ willingness to borrow but we see real opportunity to win the market share in the middle market similar lending area by building up this infrastructure. Corporate finance will also be a point of focus. Both areas we believe will provide growth opportunities in 2011. From the big picture perspective, each uncertainties have only led us to place an even greater emphasis on delivering locally as a responsible community bank and our employees are seeing this through at every level of the organization. Consumer households are up as are small business households. Cross sell activities continue to grow. And the 2010 JD & Associate survey showed the First Commonwealth making the biggest jump in customer satisfaction rankings of the 28 mid-Atlantic bank survey. No while a lot remains to be done an uncertainty surrounds everything from the economy to the effects of regulatory reform we still see a very positive trend and performance of our community banking operations. However our optimism remains cautious. So to discuss the financial result in greater details I would like to introduce Bob Rout.
Bob Rout: Thank you John, good afternoon everyone. This quarter represent substantial progress for us on a number of different fronts. The first area is credit issues where we saw significant improvements through most metrics. Certainly there's still a lot of work to be done and more risk remaining. So we are becoming increasingly comfortable with our restructured and administration function. The second area is planning and timing sources. Our strategic focus on cash management relationships is not only helping net interest income but it is also contributing to our goal of reducing balance sheet leverage and overall liquidity risk. Over the last 12 months we have reduced borrowings by $668 million. Part of that de-risking strategy includes reducing our exposure in the municipal securities for both tax and credit purposes. The temporary impairment charges on our trust referral portfolio continues to trend downward over the last couple of quarters and hopefully that trend will continue. Pre-tax, provision continues to improve and we are encouraged by the performance of our core banking groups in the areas of net interest income, non-interest income, and non-interest expense. Net interest income and the net interest margin have had a good run over the past several quarters as a result of growth in transactional deposit accounts, confirming of loan pricing and pretty good asset liability management strategies. Our asset sensitivity is only slightly positive and we think that is a good position in this interest rate environment. While growth has been declining and that’s a negative by $161 million on the link quarter, some of that decline is voluntary as we managed down larger sized current exposures and implement more of disciplined underwriting criteria especially relating to credit size, geography and price of business. And some of that declines involved vary brought on by the borrower, consumers and businesses, restructuring their own balance sheets in a weak economy and we are seeing some signs of life in the commercial secondary markets that did increase payoffs this past quarter. Non-interest income while including security gains and losses showed steady improvements in most categories on a year-over-year and quarter-over-quarter perspective, there is a little bit noise in these numbers. Since last year we've received a one-time legal settlement or $2.1 million. In addition, this quarter, we enjoyed our $600,000 of group rents dealing from the operators of our food processing plant OREO with the pending sale of that OREO property to a third party, this doesn't look like we are going to be paid or at least not paid voluntarily anyway. There are some unusual items in non-interest expense. Last year all banks had that special FDIC assessment, ours was $2.9 million. This quarter we had a $2.29 million charged off on that OREO property based upon the value determined in the sales agreement without those unusual effects, non-interest expense is slack or improving in most areas. One area where we are spending more is in technology based solutions. We believe that there is tremendous opportunity to improve the organizational efficiencies, customer service and product deliveries with better technology utilization. Some examples of these initiatives will be the cash management, teller platforms, database management commercial loans, risk ratings and profitability measurements. I should also mention that we currently have $67 million of deferred tax assets and $166 million of goodwill on our balance sheet and as you all well know in these times both areas get very close scrutiny every quarter for potential valuation issues. Positive earnings such as we experienced here this quarter are very helpful in those evaluations. Capital levels in all categories for both corporation and the banks remained well above regulatory well capitalized guidelines, again earning this quarter along with our decision to reduce dividends earlier in the year have been helpful in improving those ratios. In addition we have raised approximately $6.4 million year-to-date through our dividend reinvestment programs. So with that I will turn it over to Mike Price. Thank you.
Mike Price: Thanks Bob. I will keep my comments brief as the supplemental financial data we provided for you on our website gives you a wealth of detail on the financial metrics. The good fundamental in the net interest income non-interest income and non interest expenses were not overshadowed by credit issues this quarter. I would like to say that our credit issues are behind us but the economic environment is still challenging though we have made significant progress towards the resolution of some troubled credit that have caused pressure on earnings of the last two quarters. I would like to provide some additional details around our credit quality issues. Total non performing loans decreased $34 million or 20% during the second quarter from the end of the first quarter. This was the result the $34 million charge off on the $40 million condominium construction projects in South Florida. The bank received an updated appraisal on an as is raw land evaluation and we are in the process of exercising our default revenues. We did record an additional specific reserves of $1.8 million on this credit for the quarter. Looking at the total non-performing loan portfolio at the end of the second quarter on page 7 of the presentation we had a $133 million which represents 3% of total loans. The construction loan portfolio represents 37% of non-performing loans but represents only 9% of our total loan portfolio and 94% of the construction non-performing loans were out of Pennsylvania. We've reduced our out of state lending practice. We reduced earlier in 2009. The percentage of non-performing loans by type shows that 12% of construction loans are non-performing, 2% of commercial real estate loans are non-performing and 5% of C&I loans are non-performing. With the charge-offs of this Florida loan, our two largest non-performing loans are $45 million line of credit to a Western Pennsylvania real estate developer that was placed on non-accrual status in the fourth quarter of 2009 and a $13 million participation loan secured by a condominium development in Missouri and personal guarantees that was placed on non-accrual status in the first quarter of this year. This totals $57 million and represents 43% of the non-performing loan portfolio. These two credits have specific reserves of $33 million or $22 million for the Pennsylvania credit and $11 million for the Missouri project. Our consumer, our end market investment real-estate, our C&I and our corporate finance portfolios continue to whether this recession relatively well. Our top priority continues to be credit both resolving current challenges and building the credit infrastructure. As John mentioned earlier we are still seeing favorable trends in substantially all area of our community banking operations. Bob discussed our positive results in net interest income, net interest margin non-interest income and non- interest expense. I would like to expand on our balance sheet profile. We are getting good loans spreads and a better mix of lower cost transaction and savings deposits, household growth continues and our attrition rates remain remarkably low. Regarding loans as you can see on page 4 and 5 total loans decreased by $103 million or 2% from the year ago results with commercial loans declining $76 million or 3% and consumer loans decreasing $27 million or only 1%. Going forward, small business, middle market consumer including the (Hilox), selective commercial real estate and corporate finance, will be the opportunities and the keys to driving our growth. We exited the mortgage originations business about three years ago and this portfolio continues to run off. We experienced a run off of about $100 million in the past 12 months in that portfolio. So excluding this run off consumer loans would have increased approximately $75 million or 4%. For the second quarter, our average FICO scores remain flat with the average scores for the first quarter and for the year 2009. Our average score of 746 still indicates that we are not sacrificing our underwriting standards in generating new consumer loans. As you can see on the page 4, total deposits increased $252 million or 6% from June 30, 2009, lower costing transaction savings departments however increased $382 million or 14% during the same timeframe. These lower costing deposits represented 66% of total deposits at June 30, 2010, just the year earlier and that was only 60% at June 30, 2009, that’s a nice positive shift in the mix of deposits. This has really helped our net interest margin in the past year and in the past quarters. As Bob mentioned earlier deposit growth has helped the bank and its deleveraging efforts as well. Going forward, we will continue to take advantage of the opportunities in the Pittsburg market and in small businesses which has fuelled our growth in low costing DDA and savings deposits. We have really done a nice job enhancing our sales and service culture of the bank and we'll continue our community banking focus in delivering locally and responsibly as the community bank. I would now like to turn the call back to the operator and open it up for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) Our first question will come from Tom Alonso from Macquarie. Please go ahead.
Tom Alonso - Macquarie: Just on kind of the way you are thinking about the balance sheet here with loan growth kind of slowing down do you guys let the securities run down or you are going to see overall shrinkage or?
John Dolan: We are going to be a probably experiencing a little bit of challenge with the loan growth for the remainder of 2010. We think that our flat scenario is probably more likely but we feel that we will be able to pick up some steam in 2011. The investment will portfolio maintain fairly a liquid position. There is only so many borrowings who can payoff.
Tom Alonso - Macquarie: Okay fair enough. When you guys are talking about (FX) and interchange impact in the back half of this year that’s just the (NSF) right because I thought the interchange stuff didn’t start till next year?
John Dolan: That’s correct.
Tom Alonso - Macquarie: Okay just fair enough I think, I missed this one, when you were talking about this one, on non-interest expense there was something related to a OREO for food processing plant, can you just go back over that I just missed the numbers put out there?
Bob Rout: We executed the sales agreement on OREO that we've had on the books for a while now as the food processing plant, potential buyer is a independent third party and as a result the price that we have, the sales agreement had and the associated closing costs we took a $2.2 million charge down on that property to get it in line with the sales agreement. It’s the bulk of our other world statement in balance right now.
Tom Alonso - Macquarie: Okay, I mean the bump up in 30 to 89 days past due in construction that’s on slide 12, it looks like its probably I mean just given what the numbers are, I am just curious you can give us any color on that.
Bob Emmerich: This is Bob Emmerich. We had two accounts go delinquent as a 630 and one is more of a technical default the other one is, the credit is a substandard credit and we've been negotiating with them. But, its still work in progress.
Operator: Our next question will come from Andy Stapp from J. Riley & Company. Please go ahead.
Andy Stapp - J. Riley & Company: I may have missed this but are you able to quantify any estimate on Reg E at this point. The impact.
John Dolan:  We have talked in the past about having an impact of about $200,000 a month beginning this month, the third quarter. So, that was what we had expected.
Andy Stapp - J. Riley & Company: Okay. And there is a number of banks that have reported customers just feeling a lot more stress due to the extended nature of the economic weakness. Are you guys seen much of that.
Bob Emmerich: What customer this is Bob Emmerich, what customer segment are you referring to.
Andy Stapp - J. Riley & Company: Across the board, but primarily commercial.
Bob Emmerich: Our consumer portfolio has held up very well, delinquency there is performing very nicely. On the commercial side within the C&I credits that we have had, a lot of those people had a lot of distress in the recession last year and actually we’ve seen a number of them bounce back in the first and second quarter this year. I think our concern would be more in commercial real estate. I think people in general have a concern about that segment and that would be where we would have the most concern going forward.
Andy Stapp - J. Riley & Company: Okay, I am sorry was someone going to add something.
Mike Price: Yeah this Mike Price. I would just add to that, we continue to see the trend over the last four or five quarter about commercial rating system about two downgrades for everyone upgrade. So downgrades are outnumbering our (tough) upgrades about 2 to 1 and that’s continuous.
Andy Stapp - J. Riley & Company: Okay and I think your effective tax rate in the quarter was 23%, is this a good run rate.
Mike Price: We would think so.
Andy Stapp - J. Riley & Company: Okay I have some other questions but I’ll get back in the queue and let some other folks give out some question.
Operator: Our next question will come from Rick Weiss from Janney Capital Markets. Please go ahead.
Rick Weiss - Janney Capital Markets: Just wondering if you could talk about the loan portfolio and it still looks like it will take a while just to clean up the credit. Where would you expect business to come from over the next 18 months, emphasizing Pennsylvania or in what kind of loans are the sweet spot?
Mike Price: Just end market, this is Mike between, small business, middle market loans we have had some traction in the last few years with consumer home equity loans and even some auto loans particularly on the used auto side and then selectively with corporate finance loans in markets with kind of Pittsburg based names and then again selectively with end market real estate.
Rick Weiss - Janney Capital Markets: Okay, that makes sense. Which size loans would you figure for the C&I, commercial real estate, would you try to shoot for?
Mike Price: It really applies to $15 million.
Rick Weiss - Janney Capital Markets: Okay, and then my other question would have to be more with M&A and would you expect there to be any opportunities coming up in near future?
John Dolan: This is John, Rick it’s really hard to say. I think that the regulatory environment is going to have an impact on particularly smaller banks that this wasn’t what they signed up for and I have a feeling that that's going to open up things a little bit more freely. Until you have a slowdown in the regulatory assisted or driven transactions, you probably won’t see real M&A very active in the near future. But would say in the immediate future, yeah there's going to be an ability to have some more M&A transactions.
Operator: Our next question will come from Damon DelMonte from KBW. Please go ahead.
Timor Braziller - KBW: This is actually Timor Braziller with KBW. Just a couple of questions, first on the Florida condo that was charged off this quarter, what was the specific reserve on that loan?
Bob Rout: The specific reserves was around $34 million I believe. There was an increase in the reserves during the quarter probably a couple of million dollars, we had one appraisal received in March and that resulted in the large provision expense in the first quarter, I think of around $22 million and we did get a second appraisal and added a little bit reserves prior to the charge off. We have returned that down to the assets value so $34 million charge off is what was in the reserve at the time we took the charge.
Timor Braziller - KBW: Okay, now with the current levels of reserves are you guy comfortable with that level and do you think that $4 million provision that was taken this quarter is that going to be something that's going to be sustainable into the coming quarters?
Mike Price: We feel our reserves is adequate it is years to our methodology and so we are comfortable with where the reserve position is we have again because with the new regulatory guidance you need to write down to the assets value. We have taken a lot of charge offs on our real estate loans, to get them to the assets value in those carrying over. We have seven of larger non-performing loans have no reserve to them and mostly due to that fact in terms of the $4 million. I think that we had some things go our way this quarter. We didn’t have much in the way of new non-accrual loans. We had two new non-accrual loans both around $3 million and then we had the recoveries which John had mentioned early on in the call which totaled about 3.6 between a charge off recovery and we were able to sell two properties and have some specific reserves relieved from those two assets.
John Dolan: Having said that, you can't carry around those recoveries every quarter.
Timor Braziller - KBW: Right, okay, regarding the borrowings paid off this quarter do you happen to have an average rate on that and how much more de-leveraging should we expect to see in the coming quarter.
John Dolan: The average rate would have been somewhere around 35 to 40 basis points. They are all short term borrowings.
Timor Braziller - KBW: Okay. And is there more room for that in the coming quarters.
John Pervite: You know we think there is, it would be primarily dependent upon deposit growth and in loan activity. As John mentioned earlier, we expected portfolio to remain somewhere around these level. So it would come from those areas.
Bob Rout: And we also have some long-term debts still on the balance sheet which will coming due this year. That will give us an opportunity with may be paid downs of these low higher rates than what the short-term earnings were in the quarter.
Timor Braziller - KBW: And then regarding the capital position specifically with the total risk based capital, there's been a lot of speculation recently that 12% is going to be the new 10% and have you guys got any kind of pressure from your regulators regarding that ratio.
John Dolan: We have not but I think that the environment is such that we believe that that’s where we need to be moving anyhow. So that's why you have seen this manage our need for capital downward a little bit led by de-leveraging some of those assets.
Timor Braziller - KBW: And just one final question regarding the TruPS portfolio, has there been any kind of internal discussions or ways to dispose of that whole portfolio?
John Dolan: There has been at this point in time the option that people have been given as were too big with deep discounts. So, total market recovers for those we are probably not interested in straight.
Timor Braziller - KBW:  And do you happen to know the original book value of that portfolio. John Dolan It’s about $104 million for the total pool trust preferreds.
Operator: Our next question will come from Mike Shafir from Stern, Agee & Leach. Please go ahead.
Mike Shafir - Stern, Agee & Leach: Hey good afternoon guys, I was wondering you guys did mention on the DTA and as we start to think about that and clearly the positive GAAP net income which you had this quarter, are you guys more comfortable I guess in terms of dealing with the regulators and your projections moving forward that will be less of a potential scenario in terms of the write down.
Bob Rout: Not sure, it’s hardly making positive earnings net debt helps that whole analysis. So I mean we haven’t really not at this point continued to have earnings and future earnings look strong and hope we will be fine but again as one of those areas looked at very closely every quarter.
John Dolan: Yeah I think Mike that they prefer real earnings versus projected earnings and so we get the little bit extra credit for this quarter.
Mike Shafir - Stern, Agee & Leach: And then also it looks like your cost of borrowings went up quiet a bit this quarter sequentially and I was wondering what bought that on.
Bob Rout: You are going to next have a slight change here Mike so hold on just one second
Mike Shafir - Stern, Agee & Leach: I apologize.
John Dolan: But that, yeah, we haven’t seen what did you say?
Mike Shafir - Stern, Agee & Leach: On the long term debt
John Dolan: Yeah something came off and with and it’s not something new we put on. It would be just what came off at the lower rate, yeah that would be it
Mike Shafir - Stern, Agee & Leach: Okay and then as we just to kind of follow up on the provision and so forth as we think about that provisioning line clearly credit costs have been very, very lumpy here. So could you give us any idea of how to think about it kind of moving forward?
John Dolan: I'll make a statement there and see if Bob needs to make any clarifications there, but we have been mentioning there's a few large credits. Mike mentioned a few and he actually listed a couple there. When you exclude those from the rest of the portfolio realizing the rest of the portfolio is all we have going forward, we are not seeing that significant of an outlier with a provision for loan losses. So I would think that this quarter is with the exception of having to take account of recoveries is more in line with what it would have been had we excluded those in the past number of quarters. Those are significant credits. Bob, is there anything you would like to clarify there?
Bob Emmerich: No, it's an issue we actually have been talking about that we have had a few handful of large problem credits and that always subjects you to a lot of potential volatility around the provision expense and as you work through the problems. And hopefully I think we are working through these larger ones that source of volatility hopefully would go away and we'd be left with more of a normal run rate.
Mike Shafir - Stern, Agee & Leach: Okay, and then as far as you guys previously have discussed I guess actual number of larger loans at the bank and I know that you guys are looking to reduce that number. Do you have an update on that?
Bob Emmerich: At year end we had 63 accounts where the commitment levels, not the outstanding balance but the commitment level exceeded $15 million at June 30 we were at 57 accounts and our forecast is that by the end of the year we will be down to probably around 49 accounts and you know we realize that we wanted to work down these large exposures but we wanted to do it in a very sensible way and not disrupt customer relationships.
Mike Shafir - Stern, Agee & Leach: Thank you very much for that details, I am sorry; what day was the 63 accounts?
Bob Emmerich: That was at year end
Mike Shafir - Stern, Agee & Leach: That was at year end ’09 okay. Thank you very much.
John Dolan: Yes, Mike working them down below $15 million doesn’t necessarily paint the entire amount off EBIT.
Operator: Our next question will come from Matt Schultheis from Boenning & Scattergood. Please go ahead
Matt Schultheis - Boenning & Scattergood: A couple of quick questions for you. With regard to the technology solutions that you put in this quarter, how many of those were pretty much demanded by Reg E requirements?
Bob Rout: Perhaps I don’t think any Matt. These are somewhat put in this quarter some were put in over the last year. So they do affect your year-over-year comparisons but I can think of any Reg E systems that we put in, our current system can handle all we need.
Matt Schultheis - Boenning & Scattergood: Okay and yours is an in-house processor, right?
John Dolan: That is correct and so some of what we have done was to provide for instance cash management enhancement to be of help and continue growing in the small business and middle market area. So they have been focused on the front line.
Matt Schultheis - Boenning & Scattergood: Okay. And the costs that you had this quarter related to that are they going to be ongoing or are these one-time costs? In other words, do you have to amortize these basically over the life of the project?
Bob Rout: No. I think it will be a combination math. Some are one time; some are new systems that we put in, that will be amortized in every three to five years or new software. Certainly, the cash management probably involved in that is going to be amortizable. Now, with the credit ratings for commercial loans that's going to be more of a one time figure and we still have some more costs to come through that and database management a more of a one time versus the amortizable. So it’s a mixed bag.
Matt Schultheis - Boenning & Scattergood: When was your lead regulator, when was the last time they were through into the review.
John Dolan:  It’s about a year ago but we haven't the date on it.
Bob Rout: It was about a year ago, last August. That will be about a year now.
Matt Schultheis - Boenning & Scattergood:  Okay. So we can one expect them in August?
John Dolan: I would expect it in the foreseeable future.
Matt Schultheis - Boenning & Scattergood: Okay and one last question with regards to your methodology on your reserves. When you have an appraisal that comes in on a property that's below what you are carrying for and obviously you've taken an appropriate reserve or provision to that particular property. Are you taking that new loss severity into consideration when you either identify new loans or go back through the existing portion of the book that already may be substandard in your opinion?
Bob Emmerich: I am not quiet sure I understand the question. Could you restate it again?
Matt Schultheis - Boenning & Scattergood: If you have an appraisal that comes in below the carrying cost of something, of a loan, or a piece of collateral, if you will, and you take the appropriate provision for that particular loan, obviously. But are you taking the new assumptions surrounding loss severity and putting those back into your equation for all loans that are of similar nature in calculating appropriate reserves?
Bob Emmerich: Okay, you would, if you have an impaired loan then you would be looking at either taking a discounted cash flow, a discount of future cash flows or you would be looking at the appraisals that you would get in and take a specific reserve against that, for that pool of loans, impaired loans. For all other loans, our methodology is that we measure the collateral shortfall for anything that would be substandard or worse and then based on a migration study that we have then utilize a percentage of that overall collateral shortfall for that classification.
John Dolan: So Matt the answer that, a little surprise I think, yes for the non-impaired loans but the impaired loans no.
Bob Emmerich : Our methodology is maybe a little different. We do not utilize the two factor approach of PD and LGD that’s probably what you are thinking of that you would say for this class of credit. If its real state secured or secured by receivables or inventory you would have for the entire class you would have the certain severity rate that you would apply to that whole portfolio. We don't do that, we look at each loan individually that's either OEM or substandard and measure the collateral shortfall for each loan and then based on migration analysis that we’ve done, take a percentage of that
Operator: Our next question comes from the follow up from Andy Stapp from J. Riley & Company
Andy Stapp - J. Riley & Company: I have another modeling question in here. Just in terms of your overall reserve building going forward what do you foresee there? For example, some banks are forced to build their reserve because their model has backward looking components. Do you have anything like that or any color you could add?
Bob Rout: Andy, its Bob Rout. We have features in our model that considers the historical loss factors and yes, they will have an impact building reserves as we go forward. But I should also have mentioned that with this new project as I have discussed earlier but rate risk systems that will take into consideration the probability of defaults, given default we think will transition to a more refined model probably over the next year or so.
John Dolan: We don’t expect there to be a significant difference between the two models.
Bob Rout: Two models.
Andy Stapp - J. Riley & Company: Okay. And what can you provide; can you provide some color on opportunities for future net interest margin expansion?
Mike Price: I think we can continue to grow our non-interest bearing DDA on the backs of business deposit gathering. Both in the small business space and on the backs of middle market. So, when I think we started probably in '06 or '07 and 11% we got that number and I'm looking to John because about 14% and I think if you look at our best in class competitors that number is in the low 20s. So I think over previous years that’s a clear opportunity. I also think that historically we haven’t been a very good consumer lending and small business lending shot. I think there's lots of opportunity within our market to grow there and I think those still present attractive opportunities and as we grow household, there's fee income with the checking account and so forth and then on the commercial side I think our cash management foundation that we built in the last two years make us much more attractive to your garden variety $20, $30, $50 million company and for us to get in there and not just do a loan but also really get the whole relationship. So I think there's some really clear business opportunities that we are executing on and primarily in the small business and the middle market and corporate banking segment that gives us a nice path for growth for the foreseeable future
Operator.: Our next question will come from Mac Hodgson from SunTrust. Please go ahead
Mac Hodgson – SunTrust: Thanks for the presentation, by the way that you all put together. That's a lot of good information. One comment in there, just wanted to see if you could elaborate on was I think looking to reduce the mini-exposure. Can you maybe go through the exposure there and what you plan to do to reduce that?
Bob Rout: We just, a couple of issues, the first being $200 million seems like its awful big chunk that we had that portfolio up to at one time and some of that portfolio is instruments that we would not buy today, but we positively have acquired in acquisitions historically and the long-term nature of most of these certainly has to your interest rate, yes. And when we download [ph] some of the in go information that we are hearing on the credit issues. So we think that its appropriate to if not significantly reduced that exposure and maybe just outright not have it on the books anymore. So, well we are in the market that seems cooperative and receptive to those type of instruments. We are going to take that opportunity to significantly reduce that exposure and as keeping in line with our strategy to significantly derisk the balance sheet on a number of different fronts. So this is a great position to take advantage of the economy when if those turn positive.
Mac Hodgson – SunTrust: Does that book have a certain amount of unrealized losses or gains?
Bob Rout: Right now its just pretty much book value. In fact in this chance we sold our past quarter was probably the lower level credit quality loans, that has either low ratings or had lost insurance, if the insurance was on, that company is no longer allowed and is actually able to book some small gains on those dispositions. So we're getting rid of the lesser quality stuff.
Mac Hodgson – SunTrust:  And another question, I don't know if this was Mike's comment or John's, but I believe somebody mentioned that you're seeing signs of life in the secondary market. They're leaving some payoffs, so I was just curious if you could elaborate on what types of properties that are going to the secondary market.
John Dolan:  Yeah. We’ll see the couple real estate payoffs, regional shopping centers and just loosening up in that market fairly significant payoffs on some larger credits. Retail shopping mall, strip centers and that’s just been in the last 90 days.
Mac Hodgson – SunTrust: Is that life companies.
Bob Rout: Apartment as well there
John Dolan : It might be some potential apartment, buildings as well.
Mac Hodgson – SunTrust: Is that life companies that are providing the financing?
John Dolan: Yes
Mac Hodgson – SunTrust: Just one last question on the reserve again, I know Bob, you've hit on it a few times. If I take the specific reserve that you had at the end of the last quarter and back out the charge offs has made some adjustments this quarter. I get a specific reserve of around $47 million, 48 million, which is slightly over half of the total allowance, which would put the allowance slightly below 1% of loans, excluding the specific reserves. That seems kind of low to me, given some of your commentary on two downgrades for every upgrades and still some caution on the economy. How do you handle the general or non-specific part of the reserve, and do you feel that level, below 1% non-specific is adequate?
Bob Rout: Yes I think actually that number is going to be above 1% specific reserves around $42 million. Could you take a step back and strip off 8 to 12 loans for this organization, they were off the chart into some very deep earnings pressure. There’s a common theme around this, say a dozen loans. They were out of market they were speculative construction, perpetual business that you wouldn’t get involved in today Condo, hotels, water parks, casinos. It's just a blurb in the history of this organization in that 2005 and 2007 timeframe where most of these loans hit. And I truly don’t think they are representatives of the rest of the credit quality of the core portfolio. Yes, we think that number is adequate at this point.
John Dolan: So, if you go back Mac and do a trend on that you'll see that if you take out the impaired loans from total loans and you take out the impaired or the allowance related to those impaired loans. The remaining number we'll call that a performing reserve against our performing loans. That’s the improving quarter-over-quarter.
Mac Hodgson – SunTrust: Has it been holding fairly steady in the first half?
Bob Rout: That’s getting higher.
John Dolan: Yes, it's getting higher.
Mac Hodgson – SunTrust: Okay, well, appreciate the color. Thank you.
Operator: Our next question will come from Jay Daniel from Eagle Asset Management. Please go ahead.
Jay Daniel - Eagle Asset Management: I just have two questions. The first is you were speaking earlier about mergers and acquisitions and FDIC assisted transactions, and I didn't quite catch the gist of what you're saying. I think what you were saying was that you're probably not going to be trying to do any deals until the FDIC stuff winds down. So, I was wondering if you could elaborate on what you said earlier. And then the second question I had, I think it was last quarter, you had mentioned the Marcellus shale as being an economic opportunity up there, and I was wondering if that's still something you folks are looking towards, or is that maybe on pause a bit, given some of the concerns about the water shed that I'm hearing from folks in it Pittsburgh? Thanks.
John Dolan: Okay, I'll take the first part Jay. The M&A, I think that not whole lot of real deals are going on right now other than assisted transactions, some that have gone as you know just right before they go, I'll say go dead they get some government push. So not a lot of regular deals are happening right now. And I would expect that to continue for the next six months or so. And may it’ll start migrating back to where you’re going to have some real deals. When that happens we obviously would be interested in participating and expanding our franchise a little bit. Mike, I’ll let you talk about Marcellus Shale.
Mike Price: Couple of different opportunities coming out of the Marcellus Shale one is that we have a bunch of rural landowners up in our rural counties that have a lot more money through leases. And so that’s created a lot management opportunity under these branches when you look at our footprint we have 65 branches of or 115 in Pittsburgh MSA, but the other 50 so are really outside of that probably have together two-thirds of that are up in the northern part and really in the sweet spot of the Marcellus shale. So we are just seeing overall off-track from Marcellus shale. Obviously, the companies that are coming in and drilling the rangers and the Halliburtons and people like that; they are not getting lines of credit from First Commonwealth bank. So what we are trying to do is position our middle market and our small business on the service and the supply side to be part of that, now there is hopefully the gold rush but the increase in the economic activity that it comes with the Marcellus Shale. And that’s pretty routine garden variety kind of stuff from taking away the waste water to hotels filing up et cetera, et cetera so I would say that the opportunity for us is just the rising type kind of lists all ships on both the consumers and on the small business side we are seeing a lot of demand for office space and real estate and south part of Pittsburgh and Washington and Green and Fayette County and then in other places in our footprint as well.
John Dolan: Right now I think that Jay it may be considered a potential to change the sleepiness of the western Pennsylvanian but its probably to soon to tell.
Operator: Our next question is a follow-up from Mike Shafir from Stern Agee. Please go ahead.
Mike Shafir - Sterne Agee & Leach Inc.: I just wanted to make sure I understand. As we think of the provision, clearly your charge offs exceeded your provision this quarter. And from what you're describing, in terms of a more normalized provisioning level as we look at this quarter and backing out the money that you had coming in from the resolution of some credits, that would, in terms of the reserves staying consistent, that would still have a scenario where charge offs could exceed the provisioning line moving forward for quite some time.
Mike Price:  I think, the charge offs exceeded provision because of the huge provision we talk in first quarter for the one land loan in Florida. And so that made the comparison on usual this quarter.
Mike Shafir - Sterne Agee & Leach Inc.: Well, I guess what I'm saying is obviously this quarter specific reserve that you guys charged off and that the charge off exceeded the provision. But if you're comfortable with maintaining a reserve in and around -- the loan losses are at the loan, as you know, around 2%. As we move forward, if there's other specific reserves that have to come out you guys look like -- specific reserves run about 54% of those larger loans and then, like you said, 100% in terms of the loan loss reserve itself covers the rest of the delinquencies. If you guys aren't building reserves and see charge offs that are going higher as a function of cleaning up problem credits, can we see a scenario where charge offs are going to continue to exceed your provisioning line?
Mike Price : There be could a again we have had some large credits a handful large credits and both in terms of the provisioning and the charge off that creates some volatility around the numbers and there still could be a couple that we would be taking a write down on of existing provisions.
Bob Rout: One thing to keep in mind, I am not sure that a 2% loan loss reserve is necessary for a community bank in a non credit cycle time period.
Mike Shafir - Sterne Agee & Leach Inc.: Sure
Bob Rout: You mainly see that reserve come down depending upon what happens if were truly coming out on the other end of the cycle, right now we are comfortable towards that.
Operator: We show no further questions at this time
John Dolan: Okay well thank you everyone for joining us and wrapping up the call. I think that the progress we made toward resolving our credit issues have allowed us the underlying solid performance of our company, is true to be seen in the second quarter. We recognize that there is a lot to be done still and a lot of uncertainty, we must be property manage and that’s exactly where our presence will be. So, thank you and have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.